Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Doral Industry's Second Quarter 2019 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question and answer session. Instructions will be provided at that time for you to queue up for questions [Operator Instructions]. Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded today, August 2, 2019. I'll now turn the conference over to Martin Schwartz, President and CEO. Please go ahead.
Martin Schwartz: Thank you. Good morning and thank you for joining us for Dorel's Q2 earnings call for the period ended June 30th. With me is Jeffrey Schwartz, CFO. We'll take your questions following our comments and as always, all numbers are in U.S. dollars. Without exception, all of our businesses have produced top-line growth and we are most pleased with this. The tariffs imposed on China-sourced goods and their impact on retail price points have created uncertainty on customers buying decisions, as well as supply chain and inventory planning processes. These chaotic market conditions have resulted in margin pressure, particularly at Dorel Home and in the mass channel of the Dorel Sports. Despite this, Dorel Home has done an exceptional job of growing its top-line and is now focused on required inventory and margin improvement. New product launches at Dorel Sports have also delivered excellent results and we remain encouraged going forward, particularly with the ongoing success at CSG. Dorel Juvenile was ahead of last year and there has been progress in Europe, however work is continuing to drive down costs and return the segment to the proper level of profitability. Organic revenue rose 5.3% with the most significant contributions from Europe. Several divisions contributed to the improvement, with the progress in Chile, the rebound in Europe and increased shipments from the China factory to Dorel customers in the U.S. adding to the improved results. Organic sales also grew in North America and Brazil. In Chile, same-store retail sales have rebounded from a difficult 2018 and are running at a pace higher than last year in the low-double-digits. There has been extensive work in Chile to get things back on track, and it is reassuring to see these efforts are bringing results. Several new products were launched throughout the quarter and in multiple categories and across our various geographic markets. Roll out of some products was advanced by several months as Juvenile improvements in speed-to-market process are continuing. There are additional key new product launches scheduled for the second half of the year, including some in the growing multi-age car seat category in Europe. These will be previewed at the upcoming major Juvenile trade show in Cologne, Germany, this September. Turning to Dorel Sports, we continue to be pleased with its performance. Sales and earnings were much stronger with excellent results of Cycling Sports Group and Caloi.CSG had its fifth consecutive quarter of growth due to several new launches. Cannondale introduce four major new platforms, including an all new digitally connected Treadwell. The Topstone Carbon, which is the next big evolution in road bikes and it completely redesigned SuperSix EVO, the fastest lightweight road bike. Cannondale also launched its new app featuring a live dashboard to view speed, distance, calories burned and carbon emissions saved. It even notifies riders when it is time for a tune-up at the bike shop. Media reaction has been excellent with numerous positive articles, including the cover of Cycling Weekly featuring the SuperSix EVO, BikeRadar naming the SuperSix as the Race Bike of the year and the Synapse Neo winning Bicycling's editorial -- editor's choice. The newly redesigned GT grade, launched in May, is an updated version of the world's first full carbon gravel bike -- gravel bike. It's -- it too has generated strong media coverage with dozens of articles. Collide [ph] putting a solid performance of low-double-digit organic growth on the back of success and sales to Brazil's bike share -- bike sharing program and a better mix due to Cannondale's growth. Dorel Home and strong top line growth across all divisions is buoyed by continuing advances in e-commerce sales. Overall, Internet sales were up 25.5% representing 60% of the total segment revenue compared to 55% last year. And even brick and mortar sales rose, increasing $5.7 million from the prior year, primarily due to increases at big box retailers. Gains have two major online retailers were extremely high. CosmoLiving and Novogratz branded product sales also continued to grow. Margins decline as the impact of the new U.S tariffs that negatively affected gross margins in Q1 continued into the second quarter with higher warehousing costs on higher inventory levels and less profitable pricing and product mix. Inventory was at a record high in anticipation of strong back-to-school sales in the third quarter, but also because of higher valuations directly related to the increased tariffs. As well, promotional costs were elevated in order to grow the segments business. Inventory reduction is being aggressively addressed. A new Senior Executive has joined the Dorel Home team with a specific mandate of reducing inventory levels and eliminating excess warehouse costs. Price increases also went into effect a couple of weeks ago to counter the latest round of tariff. Jeffrey will now provide the financial prospectus. Jeffrey?
Jeffrey Schwartz: Thank you, Martin. I just wanted to talk a little bit about the -- our long-term debt. Just in case anyone is missed it in the last little bit. On June 17, 2019 we entered in a five year, $175 million senior unsecured note agreement with several institutional lenders. These senior unsecured notes are divided into two tranches, $125 million tranche that was fully drawn on and that was used to repay the $120 million convertible debenture maturing November 30, 2019. There is a $50 million tranche available, which we have not drawn on. The first tranche, as I mentioned was fully drawn on July 19 of this year. As our convertible debentures were repaid in July of 22, the maturity date or revolving bank loans and term loans have been extended now to June 1, 2021. Given that our convertible debenture was not repaid before the end of the second quarter, our revolving bank loans and term loans remain classified as current in our statements at the end of the second quarter. Our bank loans and term loans will be classified as non-current at the end of the third quarter, given that our debentures were repaid in July. So I want to make sure people are on top of that. From a restructuring standpoint, no new news we stay on course to what we announced back in Q1. We are moving forward on executing the plan, but both the costs and the benefits remain as they were in the last quarter. From a consolidated standpoint now, revenue in the second quarter increased by $46.7 million or 7.5% to $670 million. Organic revenue improved by approximately 9.6% after removing the variations of foreign exchange year-over-year. And then when we remove the impact of revenue related to the divestment of the performance apparel business, organic revenue improved by 10% or 10.2% to be exact. This is important, we've haven't had a strong growth quarter like this in a while. It does come from all three sectors. So we know we're getting the company to grow again. Our focus obviously now has to be on profitability, but at least we feel we've got the top line moving in the right direction. Gross profit for the quarter decreased 110 basis points to 20.5% from 21.6% last year. When we exclude restructuring and other costs. The gross profit was 20.7% versus the 21.6% last year. Financing expenses increased by $4.7 million and our statements, $12.7 million. The increases made up by about $2 million of interest expense on lease liabilities, as a result of the IFRS 16. In addition, there is another $1.8 million of interest, which is basically due to both higher debt balances and higher average interest rates for the quarter. And then we also had a $700,000 payment, which was an advancement on the depreciation of the convertible debentures that would have been recorded between now and November, we advance that into Q2. During the second quarter of '19, our net income was $2.8 million or $0.09 diluted per share compared to a net loss of $14.8 or $0.46 per share, excluding impairment loss on intangibles, restructuring and other costs, our adjusted net income declined to $6.3 million compared to $12.7 million last year. For the second quarter our effective tax rate showed 63% compared to 35.9%. When we exclude income tax on impairment and other intangible assets, restructuring and other costs, the number dropped down to 47 compared to 11 last year. Now it's still a very high number. So what's going on there, is the significant impairment losses that we recorded in the fourth quarter of 2018. Because of those the company is not able to recognize certain tax benefits related to tax losses and temporary differences which resulted in an increase in the reported effective tax rate for the quarter compared to last year. The balance of the increase is related to -- is reported effective tax rate in the -- and the adjusted effective tax rate is also due to changes in jurisdiction, which is always the case, which is basically the mix. But to really explain it sort of in simpler terms, we made money in areas that were paying higher taxes and we'll not able to use the tax losses in certain areas where we basically can't use them anymore because of the large losses that we recorded in Q4. Going forward, we expect the adjusted tax rate will be between 30% and 35% this year. We move over to the sectors. Home -- second quarter revenue increased by $26.2 million, 14.4%. Very excited about this because we've clearly -- it's been a while since we've gotten a good double-digit top line increase, despite all the chaos that's going on in the marketplace out there. Our gross profit, however, is down 14% to 14.2% a decrease of 270 basis points from last year. The main cause of that was higher warehousing costs related to our additional footprint, higher inventories, which is causing -- causing a lot of that. Right now we've got a lot of inventory for we're expecting a very strong back-to-school period. We brought in a lot of inventory and of course as we keep saying throughout this call, the impact of the tariffs have caused just chaos, change in buying patterns from our customers. Mixed differences. Everybody is trying to sort through the impact that we're going to have when many of our products are changing their price points. Our operating profit did decline at the end of the day by $2.8 million to $14.1 million from $16.9 million. And again, that's due to lower gross profits and higher operating expenses. Dorel Juvenile second quarter increased by $4.1 million or 1.9%, and as Martin mentioned, organic revenue was up by 5.6%. We detailed where that was coming from in Martin speech. Second quarter gross profit 26.2%, improvement of 40 basis points. I mean, when you -- the adjusted gross profit is actually 26.7% after restructuring and other costs. The principal driver of the improvement in the quarter was our Doral China factory with some negative offset from Dorel Juvenile in Europe. Overall, the operating profit improved by $24.8 million to $2.4 million during the quarter compared to the loss last year of $22.4 million, mainly as a result of last year's impairment loss that we recorded $24.2 million in the quarter last year. But if we look at excluding impairment losses, restructuring other costs, the adjusted operating profit actually improved by $3 million to $6.6 million from the $3.6 million last year. So that's definitely move in the right direction. When we go to Sports, revenue increased $16.5 million or 7.4% to $241 million. When we exclude the foreign exchange year-over-year, we've got an improvement of 9.4%. And then when we exclude the divestment last year of the performance apparel line, our sales are actually up by 11.1%. So we're seeing that in all -- all three of our divisions. We remember last quarter we had a major drop in sales in our mass market business in Q1, which was disappointing. We did make up that sales increase in Q2 and we continue to see a fairly robust demand as we go into Q3 as well. The second quarter, our gross profit declined by 70 basis points. When we exclude restructuring and other costs, we actually declined by more -- by 140 basis points to 20.6% from 22%. Again, all a lot of that is coming out of our mass business. The tariffs have caused quite a bit of uncertainty on price points. Some compression, just the way we're doing business is in flux and that's definitely had an impact on our margins and that part of the business. Overall, the segment reported operating profits of $10 million compared to a loss of $3.3 million last year. But again, excluding restructuring and other costs, operating profit improved by $2.1 million this year from -- to $10.1 million from $8 million last year. If we look at some other areas, cash flow from operating activities was $16.2 million versus $44.8 million and that's a decrease of $28 million. And the bulk of that is coming from higher inventories that we're carrying. So if we address inventories for a second, we have numerous issues causing that. Some of it is just the cost of the tariffs themselves. We're estimating somewhere between $20 million to $30 million of extra cost of tariffs in our inventory at the end of the quarter. That's likely to go up. We also have brought in a lot of products to support the growing sales. I mean, we are seeing more sales. We've brought in product at the home area ready for the back-to-school season. And even in the bike area, particularly in Canada, where we've advanced the introductions of a model 20, as Martin pointed out to Treadwell, the Topstone and a lot of these new items are coming to market earlier and therefore, we're carrying inventory earlier. Having said that, we are carrying more inventory than we should be. There is a major focus on the company in all three segments to bring down inventory. We've targeted $50 million. We believe that we can pull out of the system without affecting sales. So that -- that's become sort of our major operational issue. We have had this before, it's not the first time we've had inventory levels too high. We have been successful in bringing them down when that becomes a major focus. And right now, that is a major focus. So I'm confident that all three groups will be able to get to our objectives this year. With that, I will pass it back to Martin.
Martin Schwartz: Okay. Thank you, Jeffrey. In terms of our outlook, first half organic revenue growth is expected to continue into the second half with year-over-year increases in all three of our segments. Dorel Home is in the process of improving gross margins. This coupled with higher sales, is expected to result in higher second half adjusted operating profits. Dorel Juvenile steady progress is anticipated to continue through the year and should deliver improved adjusted operating profit versus prior year, with all major divisions contributing. Led by strong revenue and earnings at CSG, Dorel Sports is expected to deliver further sales and adjusted operating profit growth for the segment in the second half. Inventory management will be a key focus to the balance of the year, with the target reduction of at least $50 million by year end. Most significant risk going forward remains the impact of U.S. tariffs on Chinese made goods. This could have an impact on consumer demand on our retail customers purchasing behavior and, on the economy, overall. A strengthening U.S. dollar remains a risk for the Dorel Juvenile and Dorel Sports. But we are confident that our management teams will navigate through these issues. With that, I will now ask the operator to open the lines for questions. And as always, please keep your opening questions to two. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] Your first question comes from Derek Lessard from TD Securities. Your line is open.
Derek Lessard: Good morning, gentlemen. Maybe if we just focus on the Juvenile segments to begin with. Just wondering if you could talk about some of the things you do have going on with respect to the restructuring -- to the restructuring program? Highlight some of the wins there and things like how are you increasing speed to market?
Martin Schwartz: Well, those are two different questions. As far as restructuring, again, it's mostly focused on Europe. We're looking again at all of our assets. We are going to be exiting some physical locations in Europe. We don't need to be operating from every place we are -- we're centralizing a number of things. All of that is going well. Obviously, there's -- France is one of the places, but we are moving along. I'm going to say at this point, what we're doing is we're continuing to move forward both in speed. We're on time and like spend and in what we expect to achieve. They're all the same as we mentioned back at the end of Q1. So I don't really have an update there, other than. The good news is there's no bad news and we're three months through the process. So everything stays the same there. Speed to market is a big thing that we've changed. It isn't necessarily in the last few months, it's been over a year, but we were -- one of our big faults in Juvenile was taking way too long to get to market with our product. That hurt us because maybe it was a great product when it was initially designed, but if it took two, three years to get to market, by the time it hits market, it's not quite having the impact we expected. Today we're much faster getting a lot of product to market in under a year. Some of them we've actually advanced. We have a new item that we launched in Europe in June that's doing very well. We have a number of significant items that -- volume expectation wise in Europe, mostly in the car seat area that's launching in Q3 and Q4 of this year. So that's when we really sort of expect to see Europe's both top line and margins starting to improve -- the U.S. business solid. We're doing well in the U.S.
Derek Lessard: Okay. And just maybe, just a follow-up to that. The $5 million benefits that you expect this year. Did any of that contribute to Q2? And if not, when should we start seeing the first part of that?
Martin Schwartz: Something that's happening already, some of it's in there. We're hoping in Q4 to be able to do a little bit better than that, but it is in the numbers. I mean, part of it is -- it was in our budget. So it's what we plan to do. It doesn't sort of stand out. But, yes some of that's already in there.
Derek Lessard: Okay. And maybe just switching gears to Home and the MD&A and then your prepared remarks. You did point to a plan to increase margins and inventories. Do you have any specifics on how you plan to achieve that?
Martin Schwartz: Well, we have -- for instance, we've actually implemented price increases in July across the board in Home for the tariffs. So that's going to help us. The inventory reduction is going to help us on the access warehouse costs that have been sort of plaguing us now for over six months. So those are two areas we're after looking for ways to decrease some of the costs. We are finding a trend to higher margin products. A lot of it's what we call the lifestyle brands CosmoLiving and Novogratz. These businesses are growing at a faster than average growth rate and they tend to carry higher margins, all of the brand and stuff like that. So, it's sort of a shift, there's a lot of different steps to get there. We're feeling good. We're not getting back necessarily to our peak margins. But, our goal to get above this 14.7, 14.8 that we did in Q2, there is a lot of steps and we feel pretty comfortable there.
Derek Lessard: Okay. Thank you.
Operator: Your next question comes from Stephen MacLeod from BMO Capital. Your line is open.
Stephen MacLeod: Thank you. Good afternoon. Just looking at the Juvenile segment. I know you highlighted them some of the product introductions that you have coming in the back half of the year, in the press release. But I was just wondering if you could provide a little more color around, where else you're seeing growth in the market in terms of specific product, specific pockets of demand?
Jeffrey Schwartz: You know, I mean, we have so many places around the world. I mean, Canada did well in Q2, Brazil is doing very well. Our China factory is solid. We're doing well. Places like Australia, Chile is definitely improving. We're not there yet. But we had a pretty difficult year last year. So we've had some nice improvements in Chile, including having, one of our competitors closed down another retailer in the country. So that's going to be good for the future. Europe is -- I mean, one of our big risks here in Juvenile is currency, as we talked about, the U.S. dollar are getting stronger. The other thing that that is new is yesterday's announcement about new tariffs. So, tariffs have not been placed yet on Juvenile products or most Juvenile products. So that sounds like it's going to change. But again, nobody really knows any of the details. We do have some protection because we're one of the few companies that have that produces car seats in America, while a lot of our competitors import them. So that obviously would give us a strategic advantage should tariffs come on Juvenile products. But that's only for car seats. We'd all be in the same boat for other strollers and other products. We've -- it's just -- we're full of uncertainty where we're, as a -- sort of a general remark where we have a lot of optimism that we've turned a lot of our businesses and we're getting the businesses in a better space. But certainly the tariffs continue to add a lot of risk to our forecast. And on top of that, like Martin said, the currencies, I mean, today is a pretty tough day and U.S. dollar shot up significantly today. So, there's a lot of internal good news and a lot of external threats out there.
Stephen MacLeod: Right. Okay, that's helpful. And then just turning to tariffs, you mentioned the Juvenile business potentially being affected in the future. Can you just talk a little bit about like -- what are you actually seeing in the marketplaces? Is the uncertainty more coming from the supply side or is it more coming from your customers and how they're placing the orders?
Martin Schwartz: Yeah. It's not so much the supply side. The problem is the uncertainties and nobody knows what the impact. We do know now we have enough history to know that when we raise prices, when the first set of tariffs came in at 10% there was very limited effect on consumer demand. But now those have gone from 10% to 25%. We haven't really seen the impact of that yet. Nobody knows. My theory would be if someone was going to go buy a piece of furniture or a bike for $150, they're still going to buy a bike for $150, they're just going to buy less of a product because the price increases have gone up. So that's going to affect mix. Do we have the right mix in inventory? Do our retailers have the right mix? Are they raising prices on the right areas? These are all unknowns. And this is where we keep coming back to the chaos. In some cases, some of our customers have been buying decisions or changes in decisions because they're not sure where everything is going to land. And those things could be delays. They could be getting out of certain models. They can be betting on other models that might or might not sell. So it's just really difficult. I mean, our customers are probably having as much or more difficulty figuring out what their plans are as we are. So we needed to sort of let everything settle. It seems like you'd get a few months of quiet and then there's an amount of tariff announcement. So, yeah, it makes it difficult.
Stephen MacLeod: Okay. And then maybe just finally you sort of touched on a lot of the questions. But in terms of the $50 million inventory reduction, presumably, does that come from your positive expectation or on demand? And then maybe you manage the product manufacturing side of things to manage your mentors or how do you sort of exciting --?
Martin Schwartz: The demand -- no, the demand isn't really in there. There is some demand expectations, too, as sort of seasonality shifts, you do get a reduction. But a lot of it is actual conscious saying, what type of safety stocks do we carry? What is our process for reordering goods? A lot of it is because of the Internet and the SKUs that we have on the Internet in a Home as an example. Do we have too many -- when do we make a decision to promote the ones that we want to get out of. It's a very sort of operational process that we really were light on. And I guess it caught up to us as we've gotten so many skews. We do have qualified people now that have implemented a plan not discussing the plan, but actually know what they need to do. And we've started already and it's just a -- it's just focus. And we've got a great operational team in Home. Their main focus now is to get their inventories in line and bring up the gross margins. And we've got a detailed plan and they're already started executing on it. So I have a lot of confidence we should get there.
Stephen MacLeod: Okay. That's great. Thank you.
Operator: Your next question comes from Sabahat Khan from RBC Capital Markets. Your line is open.
Sabahat Khan: Thanks. Just I guess on the topic of tariffs. I guess have you had discussions with maybe some of your retail partners, like, just say there, is the ability to pass some cost or some price increases through? What are you hearing from the retailer's about then? Or, I guess in the mass and other channels.
Martin Schwartz: For the most part, not a 100%, for the most part, we passed price increases through. Now they've got to make a decision based on their price points, what they want to do. I mean, we don't -- and they're trying to figure out, do we pass the full one on every item? Do we -- many customers are doing sort of a group thing. They're saying we're getting a -- whatever it is $100 million price increase in this category. We're going to pass on $100 million to the final customer. But we might not do it on every item. We might do 15% on one item and 3% on another. So that's really up to them. But we -- for the most part, not 100%, but for the most part we've passed on all of those costs. But we don't know what the effect is going to be.
Sabahat Khan: Okay. And then just in terms of the magnitude of the price increases, I guess, what were you contemplating there? Was it just kind of the initial likelihood of tariff? Did you want to take into account potential future increases? Just trying to get an idea for how much of this increases [Multiple Speakers]?
Jeffrey Schwartz: Basically, the deal that I'm going to go out on a limb and say almost all consumer product companies are doing with most retailers is that if you we're paying $5 in tariffs, we're passing on $5 in our price.
Sabahat Khan: Okay. So I don't know --
Jeffrey Schwartz: And then you know we're just passing it through, we don't want to -- we're trying to keep the product competitive. We want demand to stay as close to original demand as possible. But at the same time, we're not ready to subsidize the tariff either. So, end up generally passing on, when the first one was 10% we past -- wasn't a 10% price increase. It's less than that because we're paying less than 10% of the selling price. So we passed on one set then and then it went up to 25%, we passed on another set. And now we're waiting to get some clarification on this new round that was announced this week. Because it's different products, right. It's not -- the announcement this week is not 10% on products that already have tariffs. It's products that have no tariffs.
Sabahat Khan: Okay. And then I guess as you just think about, just the broader sourcing strategy, I guess as a result of what's happening now, are you rethinking maybe where you source some of your product from, like I understand you make some here in the U.S., but just as source thought…
Jeffrey Schwartz: Absolutely everything. But --
Martin Schwartz: I mean, it works in many places. There are -- a lot of business going to Vietnam, Malaysia, back into the U.S., other parts of the world. But that doesn't mean you avoid the cost because, you can go to another country and they could be 10% higher than what China was charging. So maybe you're not ahead of the game. And then some cases on high volume, low margin product, even moving to another -- the cost of going to another country. But, even let's say, freight as an example. So if you go to a smaller country that doesn't have the same infrastructure and you've got to get a container to the port. Well, the costs of getting the container to the port would be higher than it is in China and therefore the product cost goes up. And if it's a low priced item, let's say it's $5 more to get your product to the market because of the infrastructure of that country. The $5 that you're saving in tariffs, you've just spent it freight or in sort of an infrastructure logistics cost. So if it's a high priced item, then $5 doesn't mean anything. But on a low priced item, the freight costs do mean. So -- we're finding, it works in some areas to move outside of China and in others. You -- the cost of the move basically eats up the same as the tariffs. So we have we're very aggressively looking at all options there and moving stuff, too, as well and have been all year.
Sabahat Khan: Okay. And then just one last one for me. On I guess, your broader go-to-market strategy, I guess -- can you maybe give us an update on some of the e-commerce initiatives, particularly Juvenile and Sports side, are coming along?
Martin Schwartz: Yeah, actually, quite well, it's a good question. And we're finding actually in both Juvenile and Sports that more and more people are going to the online area to shop. We've been much more successful. We're actually surprised somewhat even in bikes. We've -- this is the first year we're seeing some significant increases to our online customers, mostly in lower priced bikes. And not -- this is not really Cannondale level bikes. But below the Cannondale level, we are seeing double-digit or strong double-digit growth rates to online customers or to the omni-channel customers, the ones that have brick and mortar and the ones that also have their own website. They're seeing more and more of their sales going to online. So, look, it's say below the Cannondale level. It's become a big thing. And again, across the world in Juvenile, it's gaining traction. None of them are at the furniture level. I think I'll be a while before they get there, but both of them have advanced significantly.
Sabahat Khan: And, I guess just in terms of your supply chain, are you still getting the product to your customer is kind of the same way? And you have to wait just a little bit in the Home side in some of your products goes directly to the end consumer like -- is there any investment required on the supply chain side to adapt to this new kind of go-to-market or just --?
Martin Schwartz: No, I don't. I think we've done those changes. I mean, I'm sure we'll have more, but there's nothing materially different in the way we're doing our logistics. I mean, we've spent a lot and invested a lot in home furnishings. We have multi warehouses and we're always looking at, how to get everything to people faster. But there's nothing really -- and nothing that I can think up to talk about. Thank you.
Sabahat Khan: Okay. Thank you.
Operator: [Operator Instructions] Your next question comes from Derek Lessard from TD Securities. Your line is open.
Derek Lessard: Gentlemen, just a few housekeeping for me. Just wondering what we should be morally for CapEx for the year?
Martin Schwartz: Yeah, I mean, we are a bit below our plant, which is good. We'll be under 50.
Derek Lessard: Under 50?
Martin Schwartz: Yeah.
Derek Lessard: Okay. And maybe just on the leverage, just -- could you just remind me where your leverage stands today? And as well, it's seems like you've been repaying there -- looks like there's a repayment schedule. I think there was two payments of 11 million bucks and one on the long-term debt and one for the payment of the lease liabilities. Is that something we should still continue tomorrow going forward?
Martin Schwartz: Give me a minute to check all of that. What do we have here -- it's actually -- you're asking about required repayments, right? Going forward?
Derek Lessard: Yes, exactly.
Martin Schwartz: $3.75 million.
Derek Lessard: Okay.
Martin Schwartz: And leases are running. Yes. Like, what you say that $11 million, you said on the leases?
Derek Lessard: Yes. $11 million a quarter on the leases is -- is. Okay. Okay. That's it for me.
Operator: Your next question comes from Stephen MacLeod from BMO Capital. Your line is open.
Stephen MacLeod: Well, thanks you. I just have one follow-up question. I just curious, is there any way to quantify or estimate what percentage of your product is sourced in China, and potentially can't be shift into other jurisdictions?
Martin Schwartz: That's ongoing, and no, we don't -- we -- we're constantly looking at options, so I gave you -- any number I gave you is going to be stale because even though we might have a thesis that it can't move, doesn't mean we're not looking to move it or seeing if there's another opportunity in different places. So no, I don't really have that. The way we look, there is definitely some stuff that we know -- we highly doubt is probably a better word. We highly doubt we can move it because we just everywhere we go, the cost ends up being more than the item in China plus the tariff. So, but no, I don't have a [Multiple Speakers].
Stephen MacLeod: Okay. Now, that's fair. Okay. Thank you.
Martin Schwartz: All right.
Operator: We have no further questions. I turn call back over to the presenters.
Martin Schwartz: Okay. Thank you. Well, this concludes today's call on the site. I want to thank all of you for being with us. And I want to wish everybody a good weekend. And for those of you outside of in news outside of Quebec, a great long holiday weekend.